Operator:
George Sharp:
Alan Mulally:
Bob Shanks:
Alan Mulally:
George Sharp:
Operator:
Adam Jonas - Morgan Stanley:
Bob Shanks:
Adam Jonas - Morgan Stanley:
Mike Seneski:
Adam Jonas - Morgan Stanley:
Alan Mulally:
Operator:
Brian Johnson - Barclays Capital:
Alan Mulally:
Bob Shanks:
Brian Johnson - Barclays Capital:
Alan Mulally:
Operator:
Matt Stover - Guggenheim:
Bob Shanks:
Matt Stover - Guggenheim:
Bob Shanks:
Matt Stover - Guggenheim:
Bob Shanks:
Operator:
Patrick Archambault - Goldman Sachs:
Alan Mulally:
Patrick Archambault - Goldman Sachs:
Alan Mulally:
Patrick Archambault - Goldman Sachs:
Alan Mulally:
Operator:
Rod Lache - Deutsche Bank:
Bob Shanks:
Alan Mulally:
Rod Lache - Deutsche Bank:
Alan Mulally:
Operator:
Chris Ceraso - Credit Suisse:
Alan Mulally:
Chris Ceraso - Credit Suisse:
Alan Mulally:
Chris Ceraso - Credit Suisse:
Alan Mulally:
Operator:
Itay Michaeli - Citigroup:
Bob Shanks:
Itay Michaeli - Citigroup:
Bob Shanks:
Operator:
Ryan Brinkman - JPMorgan:
Bob Shanks:
Ryan Brinkman - JPMorgan:
Bob Shanks:
Ryan Brinkman - JPMorgan:
Bob Shanks:
Ryan Brinkman - JPMorgan:
Alan Mulally:
Bob Shanks:
Operator:
Dee-Ann Durbin - Associated Press:
Alan Mulally:
Operator:
Karl Henkel - The Detroit News:
Bob Shanks:
Operator:
Keith Naughton - Bloomberg:
Alan Mulally:
Operator:
Unidentified Analyst :
Alan Mulally:
Unidentified Analyst :
Alan Mulally:
Operator:
Nathan Bomey - Detroit Free Press:
Alan Mulally:
Operator:
Mike Ramsey - The Wall Street Journal:
Alan Mulally:
Operator:
John Murphy - Bank of America/Merrill Lynch:
Bob Shanks:
John Murphy - Bank of America/Merrill Lynch:
Bob Shanks:
John Murphy - Bank of America/Merrill Lynch:
Bob Shanks:
Alan Mulally:
George Sharp: